Operator: Good morning, ladies and gentlemen. Welcome to Amadeus Q1 2025 results conference call. At this time all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May 8, 2025. I would now like to turn the conference over to Luis Maroto, President and CEO of Amadeus. Please go ahead.
Luis Maroto : Good afternoon. Welcome to our first quarter '25 results presentation. Thank you for joining us today. Our business heads, Decius and Paco are here, too, and they will be covering our business overviews. I will first recap on the quarter's performance and its key developments, and then I will also update you on our views for '25. Our new CFO, Carol Borg, joined Amadeus earlier this week and she's here with us today as well.
Carol Borg : Hello, everyone. My name is Carol Borg, and I'm delighted to be here today and to have joined Amadeus, a highly unique tech player and a leading specialist in travel. I'm really excited to join this very credible team and play my part in creating value across the travel ecosystem for the benefit of our customers, employees and shareholders. I very much look forward to meeting you all in coming months. Back to you, Luis.
Luis Maroto : Thanks Carol. And please turn to Slide 4 to recap on our performance in the first quarter of the year. Despite the broad uncertainty in the environment, we continue to evolve positively through the first quarter. Group revenue increased by 9%, operating income and adjusted operating income increased by 10%, profit and adjusted profit grew by 13% and 12% respectively. Our free cash flow generation amounted to €262 million in the quarter and leverage stood at 0.8 times net debt-to-last 12 months EBITDA at the end of the period. As you know, we have an ongoing share repurchase program for a maximum investment amount of €1.3 billion, which was launched mid-March. In the first quarter, we saw strong performances across our reported segments and we remain highly focused on our strategic initiatives. Air Distribution revenue grew by 8%. Bookings processed through the Amadeus Travel Platform experienced year-on-year growth of around 3% and revenue per booking advanced in the quarter by 5% growth. Our leadership in airline distribution continues to expand. Our NDC strategy is progressing well. Airlines are signing NDC distribution agreements with Amadeus to distribute their NDC content through the Amadeus Travel Platform. We aim to become the undisputed aggregator of NDC content. We believe Amadeus has the most advanced and comprehensive NDC technology in the industry. Our Air IT Solutions revenue grew by 11%, supported by Amadeus Passenger Boarded growing around 6%, coupled with 5% increase in revenue per Passenger Boarded. Niveo IT Amadeus is leading the way for the retailing transformation of the airline industry. We are advancing with Air France-KLM, British Airways, Saudia and Finnair, which have contracted for Amadeus Niveo, a platform offering next-generation retailing capabilities beyond offers and orders, backed by fully flexible future-proofed cloud-native solutions and the latest advances in AI. Amadeus also aims to become the IT provider of reference to the hospitality industry. We are uniquely placed to address industry needs and expand in a large and growing market. In quarter one, our Hospitality & Other Solutions revenue increased by 11%. We are implementing Marriott International, an Accor to the Amadeus Hospitality platform, who will follow IHG Group and MGM to create a global community of world-leading hotels on a mission to transform relationships with guests. We continue to invest decisively through the quarter to implement new customers across our businesses, to further evolve our solutions and to fully migrate to the public cloud, all supporting future revenue generation. Over 70% of our applications are now activated in the public cloud and we aim to finish by early ’26. We are harnessing the power of AI, data and modern technologies with best-in-class partners. We have integrated Gen AI on our platform, offering our customers a solid path to deploying Agentic AI solutions. At Amadeus, we aim to power the largest, most vibrant ecosystem of open, connected and flexible solutions in travel. To recap, our performance was good and resilient in the quarter. In general, we have delivered against our original expectations in quarter one, except for somewhat softer volumes, which came in a bit below, but nevertheless quite good. Amadeus is truly a global business and many times strength in one region compensates for slowness in another. Overall, in balance, we have seen resilience in our volume performance. Our volumes in Asia have performed extremely well, with bookings and PBs growing at a double-digit pace in the quarter. Our bookings in North America have done very well, supported by our commercial success in the region, despite a less strong market underlying performance, and our PB growth in [NorAm] was somewhat impacted by U.S. domestic events. Regarding our ’25 outlook, as we have seen high USD euro exchange rate volatility beyond what we could foresee, we are focusing our ’25 outlook excluding ForEx effects, which I will review later. The macro uncertainty we are seeing may impact global air traffic growth on the line, but it is early to tell, and our outlook range cover for a more conservative volume evolution. Thus, we believe we can deliver on our ex-ForEx ’25 outlook, and it remains unchanged. Let me pass on to Decius and Paco, who will now run us through the key developments at each of our reported segments.
Decius Valmorbida : Thanks, Luis. Hello, everyone. This is Decius Valmorbida. Can you please turn to Slide 5 to review Air Distribution? I would like to start with our NDC strategy. We have 70 NDC agreements signed with airlines. Full-service carriers and also low-cost carriers are joining our Travel Platform. In Q1, we signed notably two NDC agreements, Frontier Airlines and Viva. And as you know, we see NDC as a great opportunity to increase the onboarding of low-cost carriers into our Travel Platform, increasing our addressable market. We have implemented 34 airlines year-to-date, including some big brands such as Emirates and Etihad, and also most recently, Indigo, Saudia, and Kenya Airways. Just as a reminder, the vast majority of our travel agency base has, on a seamless fashion, the ability to sell and service capabilities on both NDC and EDIFACT content. We're also proud to say that Expedia Group is now offering Southwest Airline flights with the airline's content made available on the Expedia Group brands through the Amadeus Travel Platform. During the quarter, we continue to expand our customer base, onboarding new travel seller customers, rail operators, and further expanding contents into our platform. So now let's review our volume performance in the quarter. So Amadeus demonstrated resilience in the quarter with bookings growing by 2.5%, with steady growth that was supported by Amadeus' continuous strong commercial momentum across all regions. We continue to do very well in all travel seller segments, with particular higher growth in the OTA segment. Both our Airline Distribution and Airline IT businesses benefit from a global presence. In both Airline Distribution and Airline IT, Western Europe, North America, and Asia-Pacific are the regions with the highest weight in our volumes. In the quarter, Asia-Pacific was our fastest growing region in bookings, delivering over 10% of booking growth. We had several events in Q1 that distorted the performance. Our booking growth was impacted by one last day relative to Q1 ’24 due to the Leap Year in ’24, timing effects related to Easter and Ramadan festivities. So if we exclude all of these calendar effects, we estimate our booking growth in Q1 at 3.2%. This booking evolution was supported by our strong commercial wins and by a global air traffic growth, which softened versus prior quarter, reflecting one that was planned, its expected gradual normalization of traffic, and also something that was unplanned. The impact of several events that took place in the quarter, including airline incidents in NorAm and Asia, severe weather conditions, most notably in the U.S., U.S. government developments, and also an earthquake in Myanmar. Overall for Amadeus, it was a good quarter. In our fourth largest individual GDS markets combined, that is U.S., India, South Korea, and the U.K., Amadeus bookings grew by 9.2% in the quarter. In April, we continue to have several calendar impacts with Easter and Ramadan timing effects reversing, and we estimate that the April underlying booking growth to be in line, although slightly below Q1. So now, if we can turn to Slide 6, to review Airline IT Solutions. I would like to start this quarter by focusing on the success we are seeing with our revenue management strategy, having signed multiple agreements with key partners. Indigo, India's largest airline, has agreed to implement our Advanced Revenue Management Solution, as well as FlyOne. Those follow relevant customers such as Southwest Airlines and British Airways. These partnerships demonstrate the growing adoption and traction of Amadeus' innovative, modular, AI-powered, and data-driven revenue management technology, enabling clients to optimize pricing, enhance operational efficiency, and respond dynamically to market changes. Furthermore, and building on this momentum, Amadeus has achieved a significant milestone by signing its first revenue management agreement with a non-airline provider. That is with Hertz, the global car company, underscoring Amadeus' commitment to delivering flexible solutions that drive revenue growth across diverse customer verticals in travel. By partnering with Hertz, Amadeus reinforced its position as a leader in travel technology, addressing complex revenue management needs across the travel industry. In Airport IT, we had signatures and implementations with several airports, including London Heathrow, Cabo Verde Airports, and the Metropolitan Washington Airports Authority. We're also pleased to announce that the new MSC flagship Miami cruise terminal has implemented the first end-to-end biometric cruise experience. This contract is a major step in our efforts to digitize the cruise journey with industry-first end-to-end seamless biometric passenger processing at a major cruise terminal. Equally, it shows cases Amadeus addressing complex technology needs across various verticals. In relation to our Passengers Boarded, in the quarter, Amadeus' Passengers Boarded grew 5.5%, driven by the global air traffic growth evolution and the PB contribution from Vietnam Airlines, which migrated in Q2 ’24. As described before, air traffic growth continued its expected gradual normalization and was also impacted by events which we noted, Leap Year, timing of festivities, airline incidents, severe weather conditions, and other events, which we believe further moderated the traffic evolution in the quarter, particularly in the U.S. Despite this, here again, Asia-Pacific was our fastest-growing region, with PBs growing by 12%, and it now represents our largest region, accounting for 35% of our total PBs. Finally, we estimate that excluding timing effects in Q1 ’25, Amadeus PBs grew by 6.9%. In April, our Altea PBs continued to perform well, slightly better than in Q1. And I now pass it on to Paco.
Francisco Pérez-Lozao : Thank you, Decius. Good afternoon, everybody. This is Paco, I'm pleased to be here. Please turn to Slide 7. Hospitality & Other Solutions revenue increased by 11% in Q1 ’25, where both Hospitality and Payments businesses deployed healthy growth through the quarter, supported by transactions and new customer implementations. We continued to add customers across our Hospitality portfolio through Q1. Fattal Hotels will implement our HotSOS solutions. And Scandic Hotels Group, Hotel Sixty DC, and Puente Romano Marbella have all signed for Digital Media. We also continued to expand our Payments customer base and offering in different verticals, such as with travel sellers, airports, and airlines. Lastminute.com, EGL Tours, signed for Outpayce B2B Wallet, and John F. Kennedy International Airport Terminal 4, signed for Outpayce Airport Pay. Outpayce has launched Amadeus modernized payments marketplace dedicated to travel, allowing airline customers, such as, for example, AEGEAN, to browse, sort, and filter capabilities from multiple payment partners across the globe. And with that, I hand back over to Luis.
Luis Maroto : Thanks, Paco. So, let's review our revenue evolution. Next slide. Our group revenue grew by 9.1%, supported by revenue expansion across our segments. Air Distribution grew by 7.5%, Air IT Solutions 10.9%, and Hospitality 10.5%. In quarter one, revenues were positively impacted by an appreciation of the U.S. dollar over the euro relative to the first quarter of last year. Excluding ForEx, group revenue grew 7.8%; Air Distribution, 6.3%; Air IT Solutions 9.7%; and Hospitality revenue by 8.8%. Air Distribution revenue growth was driven by the booking evolution we described before, and by revenue per booking growth of 4.8%, primarily resulting from inflation and other positive pricing effects, including contract renewals and new agreements. In regards to Air IT Solutions, revenue growth was driven by the PB volumes evolution discussed, and up 5.1% higher revenue per PB, which largely resulted from positive pricing impacts from inflation and upselling of incremental solutions, as well as fast growth of our Airline Expert Services business, and growth in Airport IT revenues, including Vision-Box. These effects were partly offset by a negative platform mix, as Navitaire New Skies outperformed Altea, and some revenue lines not linked to PBs growing less than the PBs. Regarding Hospitality & Other Solutions, as Paco described before, this revenue evolution was supported by healthy growth reported by both Hospitality and Payments. Within Hospitality, ACRS sales and Event Management and Service Optimization were our best performing solutions within Hotel IT. Distribution revenues increased strongly, backed by volume expansion. Digital Media reported softer growth than in prior quarters, mainly caused by a softening in our customer’s media spend, and Business Intelligence reported healthy growth supported by customer implementations. Payments reported strong growth, although softer than in quarter four, with both Merchant Services and Payout Services expanding notably. Please note that the Hospitality segment reported revenues in the first quarter were in line or above our expectations, both including and excluding ForEx. And we expect Hospitality revenues excluding ForEx to accelerate through the year. Please turn to Slide 10 for a review of our EBITDA, adjusted EBIT, and adjusted profit evolution. Our EBITDA grew 8.1%, resulting from the 9.1% revenue evolution discussed. Cost of revenue growth of 6.1%, fundamentally driven by booking growth, higher volumes in Hospitality, mainly in hotel distribution, and an increase in Payments transactions due to the B2B Wallet expansion. We also had P&L fixed cost growth of 12.4%, resulting mostly from an increase in resources, particularly in our R&D activity, coupled with a higher unitary cost, higher cloud costs, and the Vision-Box consolidation impact. As a result of these dynamics, our EBITDA margin was 38.5%, 0.4 points below prior year. Below the EBITDA line, ordinary D&A expense increased by 2.2%, mainly derived from higher amortization of internally developed assets, partly offset by a lower depreciation expense. The increase in EBITDA, coupled with our ordinary D&A expense evolution, drove adjusted EBIT up by 10.1%, and adjusted EBIT margin expanded by 0.3 percentage points to 29.3%. Finally, adjusted profit grew by 12.3% as a result of our adjusted EBIT growth, lower net financial expenses driven by a lower average gross debt and higher taxes than prior year, resulting from higher taxable income and a lower tax rate at 21.6%. Diluted adjusted EPS grew by 12.2% in the quarter. Slide 11, where we'll review our free cash flow generation and CapEx. In quarter one, we generated €261.8 million of free cash flow. As expected, was below prior year by 22% as a result of EBITDA expansion and fundamentally growth in our CapEx, but also due to a higher change in working capital outflow, taxes and interest paid. CapEx in quarter one increased by €49 million or by 30.9% and represented 12.7% of revenue. CapEx in Q1 was below CapEx in Q4, but relative to prior year, it is still growing, giving the quarter-on-quarter increases in ’24 to support our investments in strategic initiatives. CapEx growth came primarily from R&D capitalizations growing relative to prior year, which mainly focus on customer implementations across our businesses, such as Marriott International and Accor for ACRS, new Nevio customers and across our Air IT portfolio, as well as customers implementing NDC technology. The evolution of our portfolio, including Amadeus Nevio and Navitaire Stratos for airlines, our Hospitality platform, NDC technology for airlines, travel sellers and corporations, and solutions for airports and payment services, as well as our migration to the cloud and our partnership with Microsoft. Please note, we expect free cash flow in the second quarter of ’25 to be equally below free cash flow of quarter two ’24 due to higher capital expenditure as well as to higher cash taxes. Please turn to Slide 12 so we may set our current views on ’25. In February, we provided you an outlook for the year, which was build based on IATA 6% global air traffic growth expectations for ’25 and the USD euro exchange rate at that time of 104. Recently, we have seen extremely high volatility in the USD euro exchange rate beyond what we could foresee. As it is a large variation and it is impossible for us to reasonably predict how this exchange rate is going to behave through the year, we are focusing on our outlook excluding ForEx effects stated at constant currency. We will be reporting our group revenues and revenue by segment, EBITDA and free cash flow in ’25 at constant currency as well, so you can monitor our performance excluding ForEx. If the USD euro exchange rate stays close to 113, which is the current rate or continues to weaken, we expect it to generate a negative impact on our performance starting in Q2 as in the first quarter as you have seen the impact of ForEx has been positive. Our group revenue is almost entirely generated in euro or USD. 40% to 50% of our group revenue is denominated in USD. By segment, 35% to 45% of both Distribution and Air IT Solutions revenues is denominated in US dollar and 60% to 70% of Hospitality revenue is also in dollars. Additionally, 50% to 60% of our operating expenses are denominated in non-euro currency out of which -- no I'm sorry, and 30% of our operating expenses are denominated in US dollar. To translate our outlook ranges for ’25 into excluding ForEx figures, our revenue in ’25 should be between $6.6 billion and $6.84 billion which implies a growth range of 7.4% to 11.4%. Our EBITDA should be between $2.46 billion and $2.58 billion which implies a growth range of 5.7% to 11%. [Indiscernible] EBITDA driven by mid single-digit depreciation amortization growth. Finally, with regards to free cash flow excluding ForEx, we expect to generate around €1.25 billion to €1.33 billion in ’25. Global traffic is correlated to global GDP growth. Through the mid-term, traffic tends to grow faster than global GDP. However, there is a degree of uncertainty on GDP evolution in ’25. As I described earlier, our outlook range covers also a more conservative volume evolution than our base case which continues to allow us to deliver on our ’25 outlook excluding ForEx effects. Additionally, we have flexibility and room to support our EBITDA and EBIT evolution in ’25. We'll continue to monitor and to update you through the year. We are looking forward to the coming quarters. We have strong competitive advantages, well-invested solutions and technology, solid customer proximity, a healthy balance sheet, flexibility with cost, and a wealth of growth opportunities ahead. We are centered on our execution to deliver on our commitments with you in the short term as we continue to support our investment to further expand our differentiation and the value creation we deliver for our customers. Thank you. With this, we have finished the presentation and are ready to take any questions you may have.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We'll take our first question comes from Adam Wood with Morgan Stanley. Please go ahead.
Adam Wood : Hi, thanks for taking the question. I wanted to focus first on the Distribution business. I think overnight, your main competitor in GDS lowered their assumptions for the GDS market growth this year, but also said they expected to take a lot of share through the rest of the year. Could you maybe just comment a little bit in terms of what you're seeing and your confidence of being able to hold the guidance that you've given on an underlying basis and share evolution? And then just in terms of that range, I think the business was just below the range of constant currency for the first quarter. And you were saying that April was in line with your expectations, but again, slightly below the Q1 run rate. Is it going to be very difficult now to hit the top end of that distribution guidance? Could you maybe just help us with what that assumes? Is it re-intermediation benefits or other things that need to happen to be able to get to midpoints and top end of that? And maybe just secondly, there's also the sale of the Hospitality business. Again, your competitor, appreciate you might not want to comment directly on that, but maybe generically, could you help us with what you've seen in the past when mission critical businesses like that get sold and how that can create opportunities or otherwise for you in the market? Thank you.
Luis Maroto : Hi, thanks for the question. Let me start with more the outlook and the evolution of the business and then Decius can complement with more the commercial side. I mean, yes, we expect some, as you know, the Distribution business has three components. One is industry, second is our capability and our commercial success. Third is our pricing evolution. Industry is difficult to predict at this point. As you know, we have seen the PBs and the bookings slightly behind the original expectation we mentioned, but not far. I mean, if you see IATA reported in the first quarter 5.3%, the estimation for the full year was in the 6%. So, there is some softness mainly in the U.S. more than in the rest of the world. So, how things are going to evolve, of course, will define how the industry will result in general. With regards to the other two components, which are more under our control, I would say that the evolution is being very positive. We expect even some improvement in our booking fee evolution, moving forward, as part of the evolution that we see. And we have also had a very strong capability to increase volumes through our commercial success. Therefore, we are pretty confident about these two components. The first one today, okay, is more a question mark. For the time being, the gap we see is small. Things will depend on the evolution of the overall industry, mainly the GDP and economy. But we feel confident about the range. The top part of the range will require that traffic recovers a bit stronger. And as always, when we provide you the midpoint of the guidance is based on the traffic that we anticipate that was in the 6% from IATA. If things become better and recover, of course, we should be able to benefit from that. Decius, would be like complement the commercial part.
Decius Valmorbida : Sure, Luis. So, adding some color to Luis' comments on the commercial activities. First, in terms of the customer base and the travel seller customer base, that is quite strong. We don't have any loss and any meaningful loss on our base of customers. Quite the contrary, we are expanding a lot in all of the four main markets. We are gaining wallet share with the customers. That wallet share, part of it comes from competition, but part of it comes as well in the form of new content. So, as we are adding low-cost carriers, it means that previously other type of technology providers such as aggregators were providing those bookings and that comes to us. And so, we continue expanding with NDC and with LCC. We continue expanding the wallet share of what we have with customers and thus, let's say, our growth rates versus what is the growth rates that you can see on the MIDT and the EDIFACT behavior. So, I think that continues and given the temperature of the markets, we are, how can I say? Positive that that can still be something that can provide us with other good news throughout the year. So, I think we continue on that. Mix has been positive and I think as we see commentary from airlines, the premium demand is holding international. So, that is good for the mix and we can see that on how the unitary is behaving from now until the end of the year. So, I think that the stuff, as Luis mentioned, that is under our control, we are positive. Then, what is going to be overall industry? Very difficult to predict. Only hope that I have is, as we heard from airlines on their own reports, they are keeping capacity for the summer. So, hopefully, the market holds for the summer and improves from there. So, I think that is the color I can provide.
Francisco Pérez-Lozao : So, then, maybe to answer on the evolution of the Hospitality business. Okay, sorry. You were asking about the sale of Sabre's hospitality business and the possibility of that? Sorry, for that.
Adam Wood : Exactly, thank you.
Francisco Pérez-Lozao : Okay, sorry for that. Well, I mean, in the short term, we do not really expect any change, any impact. I mean, things will continue as they are today. So, we are actually very bullish about our IT business by, let us say, contracted book, including Marriot and Accor. We believe we are at least double the size of any other provider in the industry in that space by the number of transactions, which is really what counts because we do the revenue based on transactions really, not so much on rooms or on size of hotels or number of brands. And we are very well positioned in the tier one brands. As you know, which are actually the ones that are expanding the fastest in the industry, with the pipelines of several thousand of properties, if you go through our customers. So then in that sense, we believe that we are very strongly positioned. Also, I think we have a very differentiated USP, based on the digital merchandising side of things, with the native inclusion of attributes in the core, which we believe nobody really else has in that form. So from that perspective, I think we are on solid grounds. This business is also, I mean, there's not much tactical behavior in that business. Customers tend to take a long-term view when they choose that type of technologies. So therefore, I don't think that in the short term, we will really see an impact. Obviously, in the mid- and long-term, difficult to predict because we don't know what the new owners plan for the business.
Adam Wood : Thank you very much.
Operator: And your next question comes from the line of Alex Irving with Bernstein. Please go ahead.
Alex Irving : Hi, good afternoon. Two for me, please. First is on the Air IT business. Could you please tell us how your sales pipeline is looking for Nevio, the OMS within that? Are you finding airlines increasingly keen to engage now that some of the larger global carriers are making that switch? Or is there no real change to the trends there? Second question is on Hospitality. Can you please tell us how the migrations of Marriott and Accor to ACRS are going? What that means for the phasing of revenue growth in Hospitality & Other for the course of the year? And finally, when do you expect those migrations to be completed, please?
Decius Valmorbida : Yes, Alex, let me start with the Nevio pipeline. What we see, given the recent signatures, it's an acceleration of that pipeline. So you always have the moment of, let's say, a new concept that is coming to market and you have the first pioneers. But it is like now that this is, I would call it, an established trend and a clear industry movement. Then we see a lot of interest. We have a number of RFPs. And I think, let's say, echoing what Paco has already mentioned, airlines, they tend on these kinds of transformations to take a long term view. So we don't see any difference in terms of the appetite to modernize and to revamp their IT stack. So the pipeline continues very active. And hopefully we're going to be able to come here with news of new signatures.
Luis Maroto: Yeah, with regards to the Hospitality, the migrations are doing well, but in terms of impact to the P&L, we expect that this will be progressive. We will start having some impact of Marriott this year and with bigger impact in ’26 and then with Accor, some impact in ’26 and the biggest impact in ’27. So that's more or less what we have. And this is why we expect some positive acceleration of our Hospitality business as we move towards the second half of the year and moving to the fourth quarter.
Alex Irving : All right. Thank you.
Operator: And your next question comes from the line of Sven Merkt with Barclays. Please go ahead.
Sven Merkt : Great. Good afternoon. Thank you. You mentioned that you have the flexibility to adjust cost. And can you comment perhaps whether you have taken already some measures, what maybe would need to happen for you to become more aggressive on cost and how you see overall the scope from ideas to adjust the cost base if it would enter a more meaningful downturn. And then secondly, I was hoping you could quantify the impacts on bookings that you've seen from unexpected events, giving us some color specifically on March and April? Thank you.
Luis Maroto: Let me start with the second one. I mean, we tried to when we were talking to you about the underlying growth, we tried ourselves to really see the -- what we call impacts. Well I wouldn't say they are unexpected because it's the different holidays, different impacts that we see. Some of the things like the climate, things like that are very difficult to really have an estimation about that. Okay? Or whatever happens with the current geopolitical situation is more, it's more an assessment. But we try to give you what will be our bookings, excluding what we feel are one-offs or different timing during the year. That's what we try. More than that, it's difficult to really assess. And with regards to the first question, cost, I mean, it's always a tricky balance. We need to, I mean, again, as we did with you in COVID and we always do during this situation, of course, we take measures if we see that the revenues are not coming, but first, we always need to protect the medium term of the company. So investments, commitment with customers, things that are competitive for us, we always protect, but there are always things here and there that, of course, we take measures. And of course, again, internally, depending on how we see the evolution of the revenues, we will need to debate if some things can be delayed, postponed or adjusted. Okay? So this is why, of course, the costs are related to the revenues short term, but also need to consider the revenues in the medium term. And we need to find the right balance of both metrics.
Sven Merkt : Great. Thank you.
Operator: And your next question comes from the line of Charles Brennan with Jefferies. Please go ahead.
Charles Brennan : Great. Thanks for taking my questions. I've got two, if I can, actually. Firstly, another guidance question, I'm afraid. Can you just clarify, is the 6% IATA growth aligned with the midpoint of your guidance range? So if there's a one to one and a half point deviation of that, you're at the low end. Any greater than that, then you may miss the low end of the guide, is that the right way to think about it? And then secondly, can I ask a detailed question on some of the numbers and specifically what's the best way to be modeling the depreciation charge? There seems to be a growing gap between CapEx and depreciation, and in particular, not just for ’25. It sounds like the cloud migration project is going to conclude in ’26. I guess that's going to trigger some accelerated depreciation and amortization. Can you quantify that for ’26 as well? Thank you.
Luis Maroto : Well, look, I think we can provide you for ’25. ’26 we will provide at the right moment. We have guided you for the mid single digit growth of D&A. In ’25 and ’26, we expect something similar, to be honest. And with regards to the guidance, yes, it is based on the midpoint. When we talk about revenues, it's a bit more than what you mentioned in the low end. And again, this is related to revenues. Of course, with regards to EBITDA, we may have a bit, as I mentioned before, of flexibility to adjust our costs if we go to something that is worse than what we expect. So, look, it's not exactly what you mentioned to really miss the guidance. It will be a bit more for us in terms of revenues. You also need to consider not all the revenues of the company are linked to passengers, an important piece of that. Of course, it will impact our Distribution and Airline IT. And Airline IT, it's more difficult to adjust the revenues because it's based on passengers. In Distribution, hopefully, Decius will be able to sign even more customers and compensate part of whatever happens with the industry, which is happening as we speak. So there are some factors that may play into ourselves being able to really reach the range, even if the total passenger growth is below the midpoint. But saying that, yes, at one point, if this is well below in terms of traffic, of course, it has an impact in our business. And we will update you in the following quarters because it may impact our current guidance. But for the time being, we feel confident we can achieve that in normal evolution, of course, because we have some room to maneuver both at revenue level and at cost level.
Charles Brennan : Perfect. Thank you.
Operator: And your next question comes from the line of Victor Chang with Bank of America. Please go ahead.
Victor Cheng: Hi, thanks for taking my questions. I guess going back to the point on, I think Adam earlier mentioned, your competitor talked about maybe a GDS market expected to be down 1% to 2% this year. I believe your competitor was referring specifically EDIFACT. And obviously, we know Amadeus have been very strong on NDC bookings. So when you include the NDC volumes that you have been gaining on, how do you think about the sector, the GDS sector as a whole versus the broader airline market? And then secondly, on the Q1 bookings, it looks like North America, it looks like Middle East is a relative underperformance in bookings. Can you comment a bit about the mix in Q1 that you see on that? And then just last point on clarification, you said in April, you see in-line booking or slightly below Q1 excluding timing effects. I suppose are you referring to that 3.2% or the 2.5%? Thank you.
Decius Valmorbida: Okay, so Victor, let's go one by one. So first in terms of the overall market, I think, as you said, it only measures EDIFACT. And I think the position of ourselves versus our competitor, it is different in terms of exposure to the U.S. market that right now the U.S. market is the one that's suffering most. Okay? So I think that's our view of how our numbers have behaved on this quarter and how it's going to behave moving forward. As we have Asia growing nicely, we have the European airlines saying that they expect a certain, how can I say, maintain capacity during the summer. So it is like, well, look, we are watching like everyone else what's going to happen, but we're not seeing at least on our numbers, we are still projecting growth into what is our addressable market. I will say it this way. Now, we have new content coming in. So I mentioned Southwest coming in. I mentioned Indigo coming in. We have Frontier Airlines. We have Viva. We have NDC from a number of carriers. So I would say whatever is versus last year industry behavior, I think that we have new content and we have customer wins. So it is like we are actually either increasing the relationship that we have with agencies or bringing new agencies in order to do business with us. So I think all of those things, they deflect a little bit what can be the number of the EDIFACT bucket. Now, April, we have a lot of still festivity effects. Now, we have Ramadan and we have other elements in April. So it is like I think what we see in April are numbers that are slightly lower than what we had in Q1. But I mean, we have May, we have June. So it is like I think that we need to give a little bit of time to really be able to tell you what is going to be Q2. We remain on the idea that a lot of what we need to deliver is coming from the commercial actions rather than the industry. I think this year has been a year that a lot of the growth that we have mentioned comes from these commercial actions rather than just the industry specifically in distribution. So we feel that we're still in range to provide what we have guided for the numbers for the year.
Luis Maroto: And when we were giving you this point of April is with regards to the 3.2%, which is the underlying growth that we have seen in the first quarter and also in April, the underlying growth. Because again, you've got Eastern this year, you have a number of effects. So at the end, excluding all these effects, quarter one was in the 3.2%. April is slightly below this figure, excluding these effects. So more or less, we have not seen a deterioration from April to March. And the same with PBs, where on the contrary we have seen some improvement in the underlying growth but again, we need to see the rest of the year and the rest of the month.
Victor Cheng: Got it. And then the Middle East, has that anything to do with Turkish or is it something else?
Decius Valmorbida: So we had some geopolitical situation that has happened in the region. We had Ramadan as well. So it is like that's what we see and then we expect a normalization in the coming months.
Victor Cheng: Got it. Thank you.
Operator: Next question comes from the line of Nooshin Nejati with Deutsche Bank. Please go ahead.
Nooshin Nejati: Hi, good afternoon. Thanks for taking my calls. I also have a couple. How should we think of the unitary revenue going forward in Q2 and the rest of the year in specific? Also the same for your fixed costs and CapEx, if you can give us some color on that. And the next question on Payments. Can you give us some updates on those projects on issuing that you faced some delays last year? What's the progress on that? And when do you think these are going to be incremental? Thank you.
Decius Valmorbida: Okay, so let me start with Payments. So Payments, I had mentioned that we have three key projects, which was our own issuing capabilities and the geographical expansion in APAC and in North America. So our geographic and expansion in Asia Pacific, we have delivered the program. So I think that now we expect the growth that is going to be coming from APAC and we have our financial license and the self-issuing capability that is going to start in June. So that's a bit what we're saying that we believe that from now on there is going to be gradual evolution of the Payment business every quarter from here until the year end.
Luis Maroto: And I think your first question was about the evolution of the booking fee. I mentioned already that we expect positive evolution, depending on the quarters and the comparison with last year, but overall due to the mix that we see and also some negotiations, we expect that to evolve positively in the coming quarters. Again, there will be some seasonality in the quarters, but that's more or less the overall assumption.
Nooshin Nejati: Thank you.
Luis Maroto: Sorry, that was the question. I understand that you had something else?
Nooshin Nejati: CapEx.
Luis Maroto: CapEx, yes, I'm sorry. I forgot this piece. CapEx, we are not changing our guidance. We told you therefore you should see in the first quarters. I mean, as last year we have an increase. We don't expect that to continue in terms of absolute numbers, but again, you need to consider the comparison with last year where it was lower in the first quarter, in the second quarter, and then during the year there was an increase. So we should still expect an increase in quarter two and probably slowly just coming to a more, normal level as we move into the rest of the year to really achieve what we have guided you at the beginning of the year. So no change in the CapEx guidance and with regards to costs, again, I mentioned already, again, there is one piece which is related to seasonality. So there should be some natural evolution of improvement, but then look, it will depend a little bit how things are evolving on the cost front and we will need to see the revenue line to really see how we can adjust the cost with regards to the overall situation of the industry and the company.
Nooshin Nejati: Understood, thank you.
Operator: Next question comes from the line of Michael Briest with UBS. Please go ahead.
Michael Briest: Good afternoon. Thanks, a couple for me. Just looking at the LCC traction you're having with GDS, can you talk about the 70 airlines, how many of those are perhaps new customers to you for distribution as low-cost carriers or maybe the proportion of NDC bookings that are coming through LCCs? And I take your point on pricing for this year on distribution, but is there any real difference between the price that an LCC would pay for distributing through the GDS than a sort of full service carrier? And then you noted that the direct distribution solution grew less than passengers. Is that Altea NDC? Because I know a lot of customers who signed Altea NDC contracts have also then signed GDS distribution. Are they bringing back that traffic to the GDS channel? And then finally on Expedia, they're obviously distributing Southwest. Have you seen any other carriers come on to your platform there? You know, thinking of American and Delta and people like that who championed a direct connect strategy. Are they now distributing through it or are agents getting their content through Expedia? Thank you.
Decius Valmorbida : Okay, Michael, let's start with the last one, which is the easiest. So have we seen the Delta, the Americans coming back? The answer is no. So I think they continue with their strategy, what we call large to large, which is, they are very large airlines and they have some very large agencies that they concentrate and those they still prefer direct connect. We remain positive that on the midterm, this is an upside for us because all of those things, they have cloud costs, they have search costs, and I think that as those developments, they age and that cost comes in. I think that we are going to have a value proposition to both sides and see if we can bring those volumes back. But in terms of new content, as you mentioned, what we were seeing on the 70s. So it's like the way that we calculate the NDC bookings. I don't really have a split here between what is a full service carrier and low cost carrier on the NDC volumes that we have. Maybe on the business model, let me clarify one thing as well. Why does a low cost carrier join the GDS? And mostly is because they want to access parts of the market that are the premium side of the market. So it means that they want to access the corporate customer, they want to access international clients, they want to access premium retail. So there is not really a difference of price when those low cost carriers enter in the system. It is a bit within the average that we provide to you on a unitary basis. So our price, it is differentiated more around, let's say, reach. So it depends if they're doing domestic or international or regional. And as they come more with regional and international bookings, then it means that it doesn't produce, on the short term at least, any dilution to what is the unitary. Now, so where are we with NDC adoption? We are on the teams with the carriers that we have implemented. Why that number does not evolve? It's because every time that I'm adding airlines, I'm making the addressable market of NDC bigger and greater. So even though the NDC bookings in absolute terms are growing very fast, the fact that I add the entire possibility of an Emirates, the entire possibility of an Etihad, the entire possibility of an Indigo to the numerator, then it means that the adoption kind of it continues on the teams and will continue like that for some time. But I don't know if I have answered everything that was asked.
Michael Briest: The direct distribution? I mean, is that Altea and India?
Decius Valmorbida : Want to?
Luis Maroto: No, go ahead.
Decius Valmorbida : Yeah, the direct distribution, this is related more to, I'll call it, legacy contracts that we have with airlines that we call them system users. So this would be a pre-direct connect type of technology. So this means that as those volumes there, they phase out, they move into different lines, which is going to be more the Digital, which involves both the direct connect and as well e-commerce. And so you're going to see a move from one line to another.
Luis Maroto : But it has nothing to do with NDC. Yes, it's more related to what these airlines producing bookings in the web of another airline. Okay, that's the concept. And as airlines move more to Altea, these bookings disappear or some of that is not happening. So it's related to that. It's not very big, but we have seen not a growth there, a reduction.
Michael Briest: Thank you.
Operator: And your next question comes from the line of Toby Ogg with JP Morgan. Please go ahead.
Toby Ogg: Yes. Hi, thanks for the questions. A couple from my side. Firstly, just on the free cash flow, so down 22% year-over-year in Q1, and you're indicating that's likely to be down year-over-year again in Q2. Could you just help us with what's happening on the working capital side that contributed to some of the pressure in Q1? And then how should we be thinking about the building blocks of the free cash flow evolution into the second half and what drives that implied reacceleration in the free cash flow growth in the second half, given Q1 down and Q2 will be down as well. And then just secondly, on the Air IT side, just for the Passengers Boarded in April, it looks like in the presentation you called out that Altea PBs performed slightly better than in Q1. Could you help us with the drivers of that slight improvement and then also just give us a sense as to how the Navitaire PBs performed in April as well versus Q1 and therefore what the overall PB trend looked like in April versus Q1? Thank you.
Luis Maroto : With regards to the free cash flow, you need to consider the seasonality effects. I mean, again, I mentioned already about the potential CapEx evolution. You have the taxes, which are always, in some quarters, you need to have some cash out. So this is part of our guidance. We feel comfortable about the guidance and then you have the working capital, as you mentioned. So we know what needs to be paid with regards to different quarters. Of course, this may vary a little bit. It's always more difficult to predict. At the beginning of this year, there were some payments because it's part of the contractual agreements we have with some customers around the world. But this is again, this is always part of our projections. There could be some movements from one quarter to the other between the years, both with regards to customers as well as with taxes that sometimes is predicted. But sometimes, there is a refund in advance or not. So yes, I mean, the first two quarters are expected to be -- we also have some one-offs that we reported in the past coming from mainly on the tax area. So overall, yes, we expect some deterioration in the first quarter and second quarter and then an improvement in the last two quarters in the different lines of the equation with regards to the free cash flow. So that's what I can say with you. With regards to the PBs, in April, the overall tracking of what we have seen is positive. We have provided you with a specific data point. I think we have seen some recovery in some regions. Again, here, I mean, you need to consider that are the customers that we have. So when we talk to the U.S., we have seen an improvement in April. But again, this is coming from not from the whole industry, from the customers that are part of our Altea solution. So overall, it has been positive. Again, I mean, look, it's just a data point, but it has been better, excluding different effects than what we have seen in the previous quarter.
Toby Ogg: Thank you.
Operator: And your next question comes from the line of Laurent Daure, Kepler Cheuvreux. Please go ahead.
Laurent Daure : Yeah, thank you. Good afternoon. I have two quick ones. The first is, I know you already had a lot of questions on the pricing by bookings, but I'm more interested in the structural improvement you could see in prices, because this year you have new agreements, we have some inflation. So that's a 5% increase. On the longer term, do you believe that the price per booking could be trending more in the range of 2%, 3% or do you believe you could sustain nice price increases? And my second question is regarding to the buybacks you've been doing since the start of the year and the capital allocation, you have a maximum of €1.3 billion for buybacks. How should we look at the rest of the year and the potential additional buybacks within that range if you don't find any M&A? Thank you.
Luis Maroto : Let me start with the last one. I mean, look, we have not finished this program. We are still, you know, executing this sell buyback. It will take still months and we are not changing our capital structure. We are mainly maintaining what we told you last year, but of course, at the right moment, we will need to redebate what to do. As always, and I repeat what I always said, look, we invest in the CapEx, in the business as you have seen. We try to really find opportunities that can generate value. And then if not, we'll need to debate alternatives of -- on the remuneration. Again, I think it's too early to really talk about that. With regards to the pricing, I mean, look, there are some things that are a bit extraordinary as we were moving from full content agreements to a more free negotiation agreements. Okay? That has helped us in the last years to be probably ahead of a normal year. Of course, in the future, we'll try to do our best to keep increasing, but probably you will not have the change of contracts and the change of situation. But of course, we will apply inflation. It will depend how inflation moves and we'll try to negotiate the best conditions depending also on the mix. Because of course, if we bring more content that is more local or domestic, it will impact our figures. So, look, depending on the mix and how the business evolves, we will need to really provide you at the right moment a guidance about that. But overall, I expect the booking fee to be positive in the medium term. But some of the, specific effects that we have had of new negotiations and new contracts probably will not be there, but there will be other levers that we can apply to really keep a healthy growth in the booking fee.
Laurent Daure : Very clear, thank you.
Luis Maroto: Looks, no more questions, if I'm right. So again, thank you very much for joining this call. I'm looking forward to the first half results. Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.